Operator: Good afternoon, ladies and gentlemen. My name is Jenny, and I will be your conference operator today. At this time, I would like to welcome everyone to The Gap Incorporated Second Quarter 2021 Conference Call. Today's call is being recorded. At this time, all participants are in a listen-only mode. [Operator Instruction]  And I would now like to introduce your host, Steve Austenfeld, Head of Investor Relations.
Steve Austenfeld: Good afternoon, everyone, and welcome to Gap, Inc.'s second quarter 2021 earnings conference call. Before we begin, I'd like to remind you that the information made available on this webcast and conference call contains forward-looking statements. For information on factors that could cause our actual results to differ materially from any forward-looking statements, as well as the description and reconciliation of any financial measures not consistent with generally accepted accounting principles, please refer to Page 2 of the slides shown on the Investors section of our website, gapinc.com, which supplement today's remarks, as well as today's earnings release.  The Company's annual report on Form 10-K filed with the Securities and Exchange Commission on March 16, 2021, and any subsequent filings with the Securities and Exchange Commission, all of which are available on gapinc.com. These forward-looking statements are based on information as of today, August 26, 2021, and we assume no obligation to publicly update or revise our forward-looking statements.  Joining me on the call today are Chief Executive Officer, Sonia Syngal; and Chief Financial Officer, Katrina O'Connell. With that, I’ll turn the call over to Sonia. Thank you.
Sonia Syngal: Thank you, Steve, and good afternoon, everyone. Katrina and I are glad to be here today to share our second quarter results. First, I'll share my thoughts on the quarter and how elements of our Power Plan 2023 came to life across our brand, platform, and portfolio.  I'll also share how we're positioned to grow well into the future through digital transformation, strategic expansion of addressable market, and an acute focus on building customer lifetime value. Then I'll turn it over to Katrina to give a more detailed view of our financials and outlook for the rest of the year. We're happy with the strong top and bottom line results we delivered this quarter. We grew comparable sales by 12% versus 2019 and delivered the highest Q2 sales in over a decade. Even after walking away from 8% of unproductive sales from the divestiture of the two smaller brands and the strategic store closures at our North American market. To the entire team, thank you for your commitment to our customers and our Company every day. Our customers have great summer with optimism, hungry for mood-boosting clothes as vacations and reunions became reality. We saw a celebration of an American style of ‘90s nostalgia and the resurgence of denim. All of these sits in a sweet spot across our purpose-led billion-dollar lifestyle brands Staying close with our customer and keenly observing their cues allowed us to react quickly to the shifts in trends.  While there’s still a favorable consumer environment, we were pleased to maintain our momentum and believe this is a strong indication that our strategy is working. Starting with the power of our brands. Over the last several quarters, we've mentioned an increasing investment in marketing and brand amplifying partnerships. Our investments at about 6% of sales for the year is roughly 50% higher than historic levels, all deployed against fueling demand for each of our brands.  We've dialed up marketing efforts by balancing art and science to grow market share, to acquire new customers and drive profitable growth. First is art. Fueled by new creative confidence, our brands are using their unique voices, optimism, values, and cultural relevance to connect with customers rather than the line on discounts to drive the quick simple steps. Whether it's Old Navy and Grammy-nominated recording artist, H.E.R., celebrating the reopening of America or Gap turning to TikTok fans to choose the next color for its iconic logo hoodie after a viral come back of the classics or Banana Republic tapping into ‘80s nostalgia in our shared desire to get back out into the world with their recent vintage and travel-inspired capital collections, or Athleta and Simone Biles partnering to help girls reach their full potential and passionately take on the world, people are choosing our brands for what they stand for.  That is brand power. It’s also essential that our strong brand creative is as effective as possible and showing up in the right places and that’s where the science comes in. We've updated our media mix. We've balanced investments between conversion with existing customers and top of the funnel to build awareness, brand love, and reach new audiences. And when coupled with rigorous marketing effectiveness and a fully maximized third-party data set, we've seen this payoff.  Brand health is improving. We’re growing our customer file, and our brands are delivering results. Let me start with Old Navy. Old Navy delivered record sales with 18% comparable sales growth versus 2019. Strong story-telling, trend by product, and strategic discounting are bringing a new and more valuable customer in driving the higher spend and margin dollars.  Moving forward, the team is leveraging data science to allocate inventory to specific stores with great precision, further improving profitability. Old Navy will scale this capability in the back half and we look forward to deploying it across the rest of our brands in 2022.  And just last week, Old Navy brought the democracy of styles and service together with their women's inclusive styles sizing launch, BODEQUALITY. We now offer women's styles in every size with no price difference, fully integrated in both stores and online. No other top 20 mass retailer does that. This is the largest integrated launch in the brand's history and an important growth driver for the business for years to come. The average woman in the U.S. wears a size 16 to 18. So, with very few competitors in the plus-size space, Old Navy is positioned to take a significant share of the $120 billion women's market. Moving to Gap. Gap is restoring relevance as an iconic American brand and the North American business has reached a major inflection point with 12% comparable sales growth versus 2019. This is a testament to the hard work the team has done to fix the core business, focusing on execution at every turn. The assortment is better and tighter, product quality is better, discounts are lower. And when customers shop at Gap, they're met with a faster-redesigned site and refreshed stores that are lighter and brighter, bringing the optimism our customers expect.  This means the Gap brand is poised and ready to welcome new customers as we leverage the strength of partners to amplify our reach. Early results on Gap Home are encouraging and YEEZY Gap has created a new iconic item around jackets with 75% of customers who pre-ordered being new to Gap.  I mentioned earlier that our classic Gap hoodie is having a moment, so much so that we reissued it in a vintage brown for preorder delivering this fall. And it’s not just on TikTok. We've seen elevated search levels across Google. 7 times more people search for the hoodie on gap.com in Q2 than a year ago.  Data shows we’re attracting a younger fan base with our teen logo hoodie outpacing adult sizes by four times. I shared this all for a reason. This is a brand that is resonating and this is a brand that people care about and want to wear proudly across their chest. Next, Banana Republic. I'm pleased with the creative progress and momentum we saw at Banana Republic quarter-over-quarter.  The dresses business rebound along with pants, shorts, and woven tops, as consumers shift back to vacation, occasion, and workwear. Better execution online and a more relevant product assortment allows brands to pull back on discounting without resistance and attract new and younger customers. There’s a lot of energy heading into the brand's fall relaunch. and its vision of bringing affordable luxury to the market.  Beautifully designed products like silk and cashmere and leather, an enhanced site design, premium service, and curated store experiences appealing to all senses will build over the next several months. And finally, Athleta, which delivered 27% growth versus 2019. As the country reopened, Athleta saw its performance lifestyle assortment accelerate as customers found versatility in styles that performed for travel, work, and working out.  As a perfect amplifier of the brand’s values, Athleta’s sponsorship of world-class athletes in Tokyo boosted brand awareness of 33% versus 26% last year, according to YouGov. And next week, we will launch Athleta online in Canada, which was made possible quickly due to our DC network and our existing infrastructure there. Athleta has a consumer curiosity that fuels every detail of its brand expression.  Last month, it launched AthletaWell, an immersive digital platform alluded in wellbeing, design to build loyalty, engagement, and a community of empowered women. Members can engage in dynamic conversations with vetted expert on topics like outfitting, fitness, mental health, and body positivity.  They can also participate in one-of-a-kind experiences from interactive workshops to guided meditation, and enjoy premium content from partners like Obe Fitness. This is an integral part of a set of evolution from a performance brand to a true lifestyle brand, and a key component of our strategy to develop enduring relationships with new and existing customers.  Next, the power of our platform. We're embracing a try fast, learn fast, think big mentality to push for convenience and engaging customer experiences across the entire customer journey. With the debut of Yeezy Gap, we also launched an innovative out-of-the-box online experience, complete with preorder functionality and a digital waiting room. Our Instagram shopping pilot with Athleta and Old Navy was the successful test of distributed e-commerce, while our work on-site speed and inventory availability are yielding Net Promoter Score improvement. Launches like Athleta are made possible with the power of our platform. We've created the digital community faster and more efficiently because of our scale and our tech might, and we're able to leverage this technology across all brands as we explore new ways to connect with customers. This quarter, we maintained our digital dominance of online delivering sales growth of 65% on a two-year basis.  Because of this growths, we're making investments across our distribution network to accommodate additional capacity and a new two to three-day shipping promise for top-tier loyalty members. And meanwhile, our sourcing optimization efforts are ramping up as we look to reduce cost per package and simultaneously increase units per package. And finally, the power of our portfolio. In July, we unveiled our new integrated loyalty program, featuring a new value proposition anchored by faster shipping promise, a new tier structure, on-demand point redemption, and the ability to do good to points donation.  We know we build loyalty with our more than 65 million active customers by connecting deeply with them. This program allows us to engage personally with non-credit card customers to experience, not just discounting, to build lifetime value by migrating them up the value chain.  As we add customers to our file and transition them from one [Indiscernible] across brands and multi-channel shoppers, we see a significant increase in revenue and value. Our growing card and loyalty program already have 40 million members. It has exceeded our expectations. We [Indiscernible] that issues are non [Indiscernible] equity in the belonging report in June, summarizing developments, actions, and progress towards our 2025 commitments of critical step as we work towards our goal of creating for all with them.  Looking ahead, we are prepared for back-to-school. Our kids and baby business has been a point of strength at both Old Navy and Gap. And between the 2 brands, we represent 9% of the market. That said, we are clear-eyed about the fluid ecosystem we operate the event.  From inflation to wage pressures for the recent surge in the delta variance. The teams are mitigating supply chain headwinds from closures in the countries where we source and make our clothes and delays due to ports injection in transportation challenges. Thanks to the speed and scale of our omnichannel business, deep supplier relationships, and the playbook we built at the start of the pandemic.  We are advantaged here. We are stronger. We're healthier. We're faster. And we're more focused on GAP [Indiscernible] than we were a year ago. And that gives me great confidence that our portfolio can navigate any headwinds to come. Do our results show the acceleration of our Power Plan 2023? [Indiscernible], unproductive sales, and increase the speed and ideation and implementation. We're doubling down on 3 areas to drive sustainable long-term growth.  First, we're looking at strategic expansion of the addressable market. As we study informed trends in the market, like wellness and the homebody economy, we see a sizable future opportunity to compete in new categories. This shows up in product extensions, like inclusive sizing as I mentioned earlier, as well as home intimates and Fleece.  Which comprise a combined 326 billion in addressable markets. And when you couple that with our partner to amplify strategy, whether there are celebrity partnerships like Yeezy Gap, or franchise, and licensing partnerships like Gap home that expand our reach. That's a multiplier for growth.  Next, as our momentum builds, we have an acute focus on customer lifetime value, fueled by our marketing investments. Our work and loyalty, personalization, and creating signature experiences across channels will help attract new customers while developing connections and stickiness with our current ones. The Athlete well community and partnership with fitness parts of obeying, and our upcoming work on fixed transformation.  Our ways to deepen that relationship with the customer and to encourage up-selling and cross-selling and increased that lifetime value. And finally, digital transformation. We are investing more in technology this year than we ever had. Since moving to the [Indiscernible] October, every dollar we spend goes further towards growth and innovation versus modernization.  Innovation that could impact our entire portfolio of brands. And that speed of our technology deployment has increased our confidence to invest further. We are digitizing operations and increasing automation across inventory management, stores, and key areas of the value chain to unlock cost and margins.  We're prioritizing works that will have long-term impacts end-to-end. We believe this will radically redefine our operating cost structure and create an operating machine to support our long-term ambition for growth. Before I turn the call over to Katrina, I want to take a moment to celebrate gaping. Co-Founder Doris Fisher, who celebrated her 90th birthday this week.  As our Company's first working mom and arbitrary cool, she generations of women to champion one another to follow their instincts with passion and [Indiscernible]. She and Don Fisher set the bar high with an eye toward what the consumer was craving and have instilled an owner culture that is crucially preserved.  Tomorrow, in honor of her birthday, our team is dedicating our time to local communities in our first ever Doris Fisher Day [Indiscernible] because as she has said, we can always do more with that, I will pass over to Katrina.
Katrina O’Connell: Thanks, Sonia. And good afternoon, everyone. Building on the momentum from q1, we delivered very strong second quarter results. With the backdrop of a strong consumer, demand for our for-purpose lead billion-dollar lifestyle brands remained high.  As Sonia discussed, we believe this is the work of our team's tremendous progress on executing our Power Plan 2023 strategies. Of note are the following: one, our strategy is driving growth consistently. First old Navy and Athlete grew 21% and 35% respectively in Q2 versus 2019.  And combined represented 65% of Company sales. Both brands delivered standout sales performance, led by their brand strength, omnichannel offerings, and relevant product categories. Gap North America is growing with a 12% two-year [Indiscernible] Second Quarter, demonstrating continued strength in our core in the North American market.  This growth underscores the progress the brand is making in product and operations. We're pleased to have the new leadership of Banana Republic infusing creativity, and improving customer experience. resulting in improved sales and operating performance in Q2, as the brand regains relevance.  We're becoming digitally dominant. Our online business grew 65% in Q2 versus 2019. At over $6 billion in sales, our online channel is ranked number 2 in U.S. apparel e-commerce sales. And when combined with our well-located fleet, is a strategic advantage in serving our customers through the omnichannel lens.  And we're targeting continued growth for all our brands, adding categories and reaching new addressable markets through extensions like home, plus size, and community and wellness, as we strive for sustainable momentum Two, we're making the hard decision to improve the Company's economic model and drive management focus on what matters. Our fleet rationalization is on track and driving significant economic value.  Last year, we announced a plan to close 350 Gap and Banana Republic stores in North America. And expect that 75% will be completed by the end of this year. These closures, along with lease negotiations and higher online sales, contributed to over 330 basis points of ROD leverage in Q2 versus 2019 and will contribute ongoing value for the remainder of the year.  The transition of our European market to a new and more profitable operating model is underway and expected to be completed this year. We're making great progress on our goal of improving the performance and profitability of the GAAP brand as we partner to amplify, asset-light models. And we successfully divested two smaller. brands as we focus on our $4 billion purpose-driven lifestyle brands.  And 3, we're leveraging the power and scale of our shared platform to enable our growth agenda, and help us navigate the near-term volatility in the markets. Some relevant examples are as follows. Our technology spends enabled by our recent cloud migration have been meaningfully deployed against new digital capabilities, improving site performance, and enhancing customer experience across all of our brands.  Our new tiered loyalty program roll-out combined with our already strong cross-brand credit card programs enabled our 65 million known active customers to shop before awards across our portfolio, maximizing customer lifetime value. Our scaled and automated DC network supports our online growth and our improved loyalty shipping promise, increases efficiency, and drives down fulfillment costs.  Strategic partnerships within our vendor base, are allowing for rapid product innovation across the companies such as the launch of Old Navy's Power Soft Active Fabric, stores from fabric technology used in Athlete’s power [Indiscernible] collection, which has enabled Old Navy to dominate the value acting space and has propelled the Company's total active growth with sales on target for $4 billion in revenue in fiscal 2021.  And our strength and size in Canada will enable us [Indiscernible] enter that market in Q3 seamlessly, there are more, but these are just a few examples of how the power of the platform is a competitive advantage to growing all of our brands as we drive this synergy of the portfolio with the scale of the platform.  Given our year-to-date performance and confidence in our strategy, we are raising our outlook for the year despite continuing macro headwinds. We now expect the fiscal year 2021 sales to grow about 30% versus the fiscal year 2020. And with an operating margin of about 7% on a reported basis and about 7.5% on an adjusted basis.  This accordingly revised outlook puts us on an accelerated path towards our 2023 operating margin target of 10% plus. And we expect our fiscal year 2021 recorded EPS to be in the range of $1.95 to $2.05 with adjusted EPS in the range of $2.10 to $2.25, a $0.50 increase from last quarter. COVID variants continue to cause volatility in certain markets.  And we're actively working through supply chain constraints, inflation, and wage pressure. We expect these challenges will continue for the remainder of the year that our teams have been hard at work leveraging our scale advantages, and strong relationships with vendors and carriers to navigate materials and other cost increases, and secure necessary ocean and air capacity to navigate the supply chain delays.  Now, turning to second quarter financials. Net sales for the quarter were up 5% versus 2019 and comp sales increased 12% on a 2-year basis. Permanent store closures and the divestitures of our intermix and Janie and Jack businesses impacted sales by approximately 8 points.  In our international markets, COVID-related store closures were persistent for most of the quarter, resulting in an estimated 2 percentage point impact on sales versus 2019. We're pleased to report that while we're still carefully monitoring the COVID situation globally, as of the end of Q2, nearly all of our stores have reopened.  Even as store sales start to rebound, outsize online growth continues. Enabled by investments in our omnichannel capabilities, customers are getting a great experience engaging with our brands regardless of how they choose to shop with us. The online business grew 65% versus 2019 and contributed 33% of total sales in the quarter.  As noted in our press release, the second quarter reported results to include an SG&A charge of $19 million. primarily related to the decision to close our stores business in the UK and Ireland, which will ultimately drive improved profitability and remove fixed costs from our structure.  For details on sales by brand, please refer to our earnings press release. In terms of gross margins, the second quarter gross margin was 43.3%, reaching a historical high in the quarter and expanding 440 basis points versus 2019. The majority of expansion resulted from ROD leverage from online growth, strategic North American store closures and the ongoing benefit of renegotiated rents for the remaining fleet.  During the quarter, ROD leveraged by 330 basis points versus 2019, a trend that we expect to directionally carry forward in the second half of 2021. In addition, we were able to reduce discounting across all of our brands, resulting in meaningful averaging retail growth versus 2019 and significantly expanded product margins.  Despite 130 basis points and higher shipping costs primarily due to increased online demand, merchandise margins still improved versus 2019 by 110 basis points. Turning to SG&A. On a reported basis, SG&A had 33.6% deleverage by 180 basis points compared to fiscal 2019. On an adjusted basis, SG&A was 33.1% of sales, 260 basis points higher than 2019 adjusted SG&A.  We are acutely focused on driving down six expenses to reinvest in demand generation as we look to grow sales in the long term. In Q2, our work on optimizing store expenses yielded about 150 basis points of benefit, helping to fund high-impact marketing, fueling brand health and relevance. Marketing drove 230 basis points of the increase to 2019 as we leaned into further digital marketing, celebrity partnerships, and important growth initiatives like our integrated loyalty program launch.  The success we're seeing, evidenced by improved profit margins and new customer acquisition gives us the confidence to lean into this important demand driving strategy in the second half, as we expect a marketing spend of approximately 6% of sales for the full year. In addition, we experienced approximately 200 basis points in higher bonus accrual costs related to our strong financial outlook and pay for performance philosophy.  Regarding the operating margin, the operating margin for the quarter was 9.7% on a reported basis. Adjusted operating margin of 10.2% increased a 190-basis point versus the 2019 adjusted operating margin. As the initiatives of our strategy take hold, we're encouraged to see the results through growing sales with improved profitability. Moving on to taxes and interest.  The effective tax rate was 28% for the second quarter of fiscal 2021, second quarter net interest expense was $50 million. Regarding earnings on the quarter reported earnings per share for Q2 were $0.67 up to $0.23 compared to 2019. Adjusted earnings per share were $0.70, an increase of $0.07 to 2019 adjusted EPS. Turning to inventories, second quarter inventory ended up 2% compared to 2020 and down 2% for 2019.  As part of our strategy to mitigate challenges within the supply chain due to capacity and COVID impact, we are leveraging our scale advantages to ensure we have appropriate inventory to fuel sales growth during the important holiday season, we currently expect the third quarter ending inventory to be up mid-single. Double-digits compared to last year. Regarding the balance sheet and cash flow, we ended the quarter with $2.7 billion in cash, cash equivalents, and short-term investments.  During the quarter, we paid the Second Quarter dividend of $0.12 per share and completed approximately $55 million in share repurchases as part of our plan to repurchase up to 200 million in shares this year to offset dilution. Earlier this month, we announced we will pay a third quarter dividend of $0.12. Consistent with our plan to return cash to shareholders through a competitive dividend program. We ended the quarter with 376 million shares outstanding.  Finally, before we turn to our 2021 outlook, a brief update on the progress of our North America real estate plan and the transition of our European operating model. Year-to-date we've closed 24 GAAP and Banana Republic stores as part of our 350-store closure plan for North America. As a reminder, we expect to be about 75% complete on that plan by the end of 2021, with 189 North America stores closed in 2020, and 75 stores expected to close this year.  Old Navy and Athlete opened 25 and 13 stores respectively, year-to-date on a path toward 30 to 40 openings at Old Navy and 20 to 30 openings at Athlete. Regarding the partner to amplify strategy were deploying in our European market. We've announced that we are in discussions to move to a partnership model in France and Italy. And that while we will still maintain an online presence, we will be closing our store locations in the UK and Ireland.  Year-to-date. we've closed 26 stores, with the remaining 58 stores expected to close by the end of September. In the short term, we're not projecting a benefit in the back-half of 2021 due to the employee and lease-related costs as we wind down the store's business. But these strategic changes are expected to drive earnings accretion on an annual basis.  For some helpful context, in fiscal 2019, the European market generated $539 million in net sales. About half of these sales were generated by the UK and Ireland stores at a slight operating loss. Now I would like to provide an update on our full-year financial outlook. We're providing both the recorded and adjusted outlook for the year.  Earnings per share are now expected to be in the range of $1.90 to $2.05 on a reported basis, which includes non-recurring charges related to divestitures and the impact of changes to our European operating model totaling approximately $0.20. Excluding these charges, we expect adjusted EPS to be in the range of $2.10 to $2.25. A $0.50 increase to our prior guidance.  We now expect sales growth of that 30% versus 2020. This incorporates the loss of sales due to store closures in the UK and Ireland. The reported operating margin is expected to be about 7%. Our adjusted operating margin is expected to be about 7.5%, an increase of a 150-basis point versus prior guidance. And puts us well on the path to the 10% plus goal laid out in our Power Plan 2023.  As we developed this outlook, we considered a number of scenarios. Carefully balancing the benefits related to our brand strength, new product offerings, and loyalty program against the near-term expense from inflation and supply chain pressures, including sizable investments in airfreight to partially mitigate longer lead times and shipping delays so that our inventories will be well-positioned to compete during back-to-school and holiday.  Regarding capital expenditures, we continue to expect to spend approximately 800 million for the full year. Our strong cash generation is enabling investments in our sustainable growth strategy. With a sharp focus on ROIC, we're targeting high return investment in digital loyalty and supply chain capacity. In addition to store growth at Old Navy and Athlete. As I look forward, am energized by the following. The third is that our strategic approach to growth is working.  And Sonia articulated, we're driving growth in existing categories and we're targeting new addressable shares rooted in customer trends with initiatives like bought a quality of Old Navy and Athlete Canada launching in Q3. And our study of the homebody economy and wellness trends may open the door to other new and exciting growth categories and services in 2022 and beyond. Next is our acute focus on customer lifetime value.  With the formal launch of our integrated loyalty program in July, we're significantly increasing our ability to attract interactive customers in a more personalized and meaningful way. The program has already grown to over 40 million members. And based on the early results from the program soft-launched last fall, we expect to see increased purchase frequency and higher average order size from loyalty numbers.  In addition to driving better transaction economics within a brand, the program encourages consumers to become multi-brand loyalists through our universal rewards program. Loyalty is just one way that we've doubled down on building deep relationships with our customers that result in stickiness and deliver value.  Finally, our commitment to transforming the fixed cost in the business into demands generating dollars, for investments or EBITDA expansion, is showing results. Our fleet rationalization is deeply underway. Our smaller brands have been divested and our partner to amplify strategy for international operations is in-flight.  We've also begun to pivot our technology investments towards the digitization of the enterprise from our inventory management transformation and shipping optimization work to productivity improvements in stores using technology and proven automation practices from our DCs, we are now developing a road map for leveraging the use of data and AI to unlock trap costs, increased speed, and aid in decision-making. Proactively unlocking investment dollars to drive long-term growth. With that, I'll now turn the call over to the operator for questions.
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of Matthew Boss of JPMorgan.
Matthew Boss: Great. Thanks, and congrats on a really strong quarter.
Sonia Syngal: Thank you.
Matthew Boss: So maybe two-part question. First, Sonia, at Old Navy, I guess as we think about the 18% comp growth relative to 2019, as well as 20% growth more in the front half, I guess, how do you rank drivers of the top line inflection you're seeing? Any thoughts on back-to-school so far? And then Katrina, on your updated 30% revenue guidance for the year, I think it implies double-digit back half net sales growth relative to 2019 and that's versus 6% in the front half. So just any drivers and your confidence in that embedded revenue growth acceleration in the back half of the year would be great?
Sonia Syngal: Okay, Matt. Nice to hear from you. So, I'll start with the back-to-school component first around Old Navy. And as you know, for American families, this back-to-school season will be the first in over a year and Old Navy is prepared as is Gap brand. And together, they hold 9% of kids and baby market share, so a position of strength. And as we think about that, as we think about their BODEQUALITY launch, which just happened, offering the entire women's assortment from doubles 0 to size 30 in stores and online at the same price. And one of the best, biggest launches in the brand's history, those two drivers of growth are something that we're confident in. And coupled with the science that Old Navy is building into its operating model, right, the inventory management transformations they're driving as an example, which is aligned for a greater position of matching a supply demand in their stores and in their DCs. So, three great drivers, and I think we feel quite confident in our outlook and the momentum Old Navy have.
Katrina O’Connell: Yes. When it comes to the Company and the acceleration you're referring to in revenue in the back half, I think, what's exciting to us and what you heard in some of our prepared remarks is that our strategy really is about continuing to take market share in the core categories in which we dominate. So, whether that's denim or active or kids and baby.  But then also continued to supplement those core categories with new addressable markets like the BODEQUALITY launch, which will drive incremental value in the back half, it will maybe, or the Athleta Canada entry, which will drive incremental value for Athleta.  Then combined with new lifetime value levers like loyalty launch, and then all supplemented by an incremental marketing spend that continues to drive profitable sales for us. So, it's really this layering effect of initiatives and capabilities against our great brand strength that's driving that level of growth in the back half.
Matthew Boss: Congrats again.
Katrina O’Connell: Thanks, Matt.
Operator: And we will go to our next question from Ike Boruchow of Wells Fargo.
Ike Boruchow: Hey, Katrina and Sonia, I guess I would ask about Gap brand specifically on the Yeezy collaboration. I mean, that was pretty interesting that 75% of the preorders for non-Gap customers, I'd love to hear a little bit more about that.  And then I mean, Sonia, I think on the last conference call, you said you’d have more to share with us within the few months. So, it's been a few months and you've got a little bit more in front of you. Can you help us out with timing or just anything else along the launch would be great?
Sonia Syngal: Yes. Sure, Ike. So, as we spoke last quarter, we said with the launch in Q2 and we launched Yeezy Gap with the beginning of an iconic new products around jacket. And we have preorders sold it in North America, in Tokyo, and in Europe, and it's kind of a great response. We've had a much younger customers.  We've had 75% of those customers being new to the Gap brand. And so, we're excited to be off the gate. And what I would say is this is a strategic partnership. It's a long-term partnership. And when we think about the -- what we -- where we expect it to be now, we're pleased with the customer responses validating this partnership.  We're pleased with the product and the product of pipeline that we have coming. And so more to come. And I think that the coolest of it will mean we don't really reveal that much in our earnings call versus out there on Twitter or something, but more to come in the coming months and years.
Katrina O’Connell: Yeah, and I think we would say that it's following a creative process versus a more traditional process. And so that will lead to incremental excitement as the -- as this all builds. They'd also leads to sort of a different path. And so again, the round jacket launch and the customer acquisition we're seeing there is really giving us great confidence in the long-term potential of this partnership.
Ike Boruchow: Great, thanks.
Operator: And we'll go next to Adrienne Yih of Barclays.
Adrienne Yih: Okay. Sonia and Katrina, I have to say, I don't think I've ever seen a speed of transformation like the one you've set in motion. Under 18 months, right, if I did my math correctly. So, congrats.
Sonia Syngal: Thanks, Adrienne.
Adrienne Yih: You're welcome. So, I guess my first question is going to be the comment on all three brands being less promotional. And I want to just get a feel for where is the high watermark on each of Old Navy, Banana, and Gap, it seems like Banana and Gap are just getting underway and probably have a long way to go.  And then Katrina, can you just help us quantify either the – well, actually both if you can help us quantify AUC growth and AUR growth in the second quarter, and what we should expect for those in the back half? Thank you very much.
Sonia Syngal: Let me start and then kick it over to Katrina. In terms of pricing power, we’re seeing the margin expansion, as you mentioned, but we have a long runway here. If we look at each brand and their competitive set, we think that we have multiple years of price realization ahead of us.  The first order bit was getting the art right, the brand positioning, the product, the marketing, the store experience, right, the fundamentals and the online experience, and we're making momentum there. But I would say that as we invest more in marketing, as we invest more in the technology to drive yields, such as examples like inventory management or order logic, or minimizing return via the acquisition we announced today, these are all multiple drivers of growth. And then layer on top of that, our new loyalty program, which we all know, is a proven mechanism to drive price and customer value. So, we think we've got multiple prongs of price realization ahead of us. And I'll turn it over to Katrina to pick up the rest.
Katrina O’Connell: Yes. I think that's right. We continue to have confidence that we'll grow our AURs in the back half of this year based on everything Sonia just said, whether it's marketing that's driving significant brand health, or whether it's the product categories in which we compete, or some of the new capabilities we're launching at Old Navy that we'll deploy next year at Gap and Banana around yield optimization.  All of that gives us great confidence in the AUR expansion in the back half. I'm not going to comment on AUC other than to say our outlook already contemplates any potential increases in AUC that would come from the incremental airfreight that we've put in.  And as Sonia mentioned, and I mentioned, we are spending money on airfreight to compete in the back half, so that we have the right inventory here to be able to continue our market share grab in the back half of the year.  And so, that's all contemplated in the raised guidance we gave today. And so, we feel quite confident that our strategically advantaged supply chain is giving us the opportunity to compete –well, combined with then the AUR and price elasticity that we have in the back-half.
Adrienne Yih: Fantastic. Best of luck.
Katrina O’Connell: Thank you.
Operator: And our next question comes from Brooke Roach of Goldman Sachs.
Brooke Roach: Thank you. Good afternoon, and thanks so much for taking the question. I wanted to follow-up a little bit on some of the industry-wide supply chain and product availability pressures. There was a lot that was covered on the call so far today, but I just wanted to understand maybe in a little bit more detail how confident you are that you'll be able to source the merchandise need for a holiday and into spring.  What level of pressures are embedded in your outlook from these disruptions? And whether or not there’s any pockets of inventory that may be tougher to source that your customer is looking for? Thank you.
Sonia Syngal: Yeah, happy to answer that. And you may be aware that my background is in supply chain and manufacturing. And so, as we have navigated the last few months and some of the headwinds, here are our advantages. We have big powerful relationships with our manufacturers across multiple countries of origin.  So, if there's a country like Vietnam, which we've all read about, having some COVID concerns, we're able to work with these partners across multiple countries of their manufacturing to shift as needed. Next, we have advantaged transportation relationships. We booked advantage, cost advantage air capacity six months ago.  So, we're not paying spot rates. We're being strategic here. We have vessel capacity, that is fast and giving us speed advantage. So you couple all of these nodes in the supply chain together, and you then apply that against our billion units a year and this is where scale matters.  So we will be first out of the gate with some of our vendors and also, we will pay the least amount for the advantaged speed that we are investing in. So we feel good about navigating what is a very volatile environment certainly and changes over time. But we have real -- near real-time visibility to what's coming and that’s all baked into our forecast.
Operator: And we will go next to Kimberly Greenberger of Morgan Stanley.
Kimberly Greenberger: Okay, great. Thank you so much. I wanted to ask if you have any outlook in the back half of the year by brand? How we should think about the revenue breakdown? And just on the supply chain question, you talked about a sizable increase in airfreight in the back half of the year.  I just wanted to know if you had any color on magnitude there. And if you could just remind us what percentage of your inventory you have historically sourced from Vietnam that you would be looking to sort of reallocate to other countries, that would be great? Thank you so much.
Katrina O’Connell: Sure. Kimberly. So, when we think about the second half revenue, we don't actually break that out by brand. But as we've said, we have strength at Old Navy driven by the sizable kids and baby denim and active businesses that we have combined with BODEQUALITY launching.  And so, as you can imagine, as we talked about some of the incremental volume that’s coming from Old Navy with the BODEQUALITY launch. And that Athleta continues its momentum and also is entering with online in Canada in the back half, as well as having a Simone Biles relationship really begin to take traction with the girls' customer there.  So that's how I think about those two brands. And then at the Banana Republic, we really do expect that with the fall season, we will begin to see their new marketing and execution on their website and stores with products start to take hold fall into a holiday.  And at Gap, I think you're seeing at the core, Gap is very strong in the North American market. I think we gave you some color on how to think about the UK and Ireland stores, and the revenue that we'll see lost there, but then also the better profit impact going forward, 2022, what that'll be. So - and there are lots of pieces to the puzzle, but that's how to think about the revenue by brand. As far as the air costs, we haven't quantified that. But it is significant. And we are obviously -- as Sonia said, we've actually taken a bunch of capacity in the market about six months ago. So, we're actually evaluating daily, weekly, hourly, what of that capacity to use, and when. So, it's really evolving and all the possible scenarios are really contemplated in the updated raised guidance that we gave you today. And then I think you have a question on inventories to remind me. 
Kimberly Greenberger: Vietnam, sorry. Sorry was just which piece -- what percentage of inventory do tours from Vietnam historically either last year or the year before that you would look to relocate to another country?
Katrina O’Connell: Vietnam is a topflight sourcing country for us, it's an important country and I'd say that as we think about countries of origin, we are able to get manufacturing out of Vietnam and use accelerated transportation to make up any flow that's coming out of the factories as we deal with factory closures and temporary day’s loss, for example.  We also have strategic partnerships that have product-based in Vietnam and other parts of Southeast Asia, India, and Latin America, et cetera. So, the flexibility to move across countries origin for our big billion-dollar relationships that we have with our manufacturers is what's giving us the agility to navigate the COVID impact as it has its impact around the world, including Vietnam. Hopefully, that's helpful.
Kimberly Greenberger: Yes. Thank you.
Operator: And ladies and gentlemen, that does conclude today's question-answer session and our conference for today. Appreciate everyone's participation. You may now disconnect.
Sonia Syngal: Thank you all for joining us today and we look forward to speaking with you at the end of the third quarter.